Operator: Good morning. Welcome to Wesdome Gold Mines Conference Call to discuss the company's financial and operating results for the 3 and 6 months ended June 30, 2025. [Operator Instructions] As a reminder, this call is being recorded. Your host for today is Trish Moran, Wesdome's Vice President of Investor Relations. Ms. Moran, please go ahead.
Trish Moran: Thank you, and good morning, everyone. Before we get started, I'd like to point out that during today's call, we may make forward- looking statements as defined under Canadian securities law. I ask that you view our slide presentation for cautionary language regarding forward-looking statements and the factors pertaining to these statements. Please note that all figures discussed on this call are in Canadian dollars, unless otherwise noted. Our press release, MD&A and financial statements are available both on SEDAR+ and on our website, wesdome.com. With us on today's call and webcast is Anthea Bath, Wesdome's President and CEO; Guy Belleau, our Chief Operating Officer; Jono Lawrence, our Senior Vice President, Exploration; and Raj Gill, our Interim Chief Financial Officer; as well as Kevin Lonergan, SVP Technical Services. Following management's formal remarks, we will then open the call to questions. And now over to Anthea.
Anthea Ingrid Bath: Thank you, Trish. Good morning, everyone. As we move past the halfway point of 2025, one thing is clear. Wesdome has made significant strides over the last 2 years. We've delivered consistent sequential improvements in both operational and financial performance, culminating in record results across several key metrics for the quarter and the first half of the year. At the consolidated level, Wesdome is effectively executing its strategy, shifting from a short-term just-in-time approach to one that is focused on building long-term sustainable value. That said, while our financial performance year-to-date has been strong, we are updating our guidance to reflect Eagle River's excellent performance and the challenges at Kiena. At Eagle River, the past 12 months have marked the start of a multiyear turnaround. While there's still much to do, we've seen vast improvements in safety, increases in production and decreasing costs. As demonstrated again this quarter, Eagle River continues to deliver strong results. This is due to good performance against our plans, compliance to our sequence and improved dilution. Given performance to date, we are raising production guidance, increasing the top end to 115,000 ounces and tightening the grade guidance to between 14 and 15 grams per tonne. All-in sustaining costs per ounce are expected to improve, benefiting from ongoing cost optimization initiatives. Whilst Eagle River is trending upward, Kiena has fallen slightly behind. Kiena's challenges in the second quarter were largely a continuation of existing issues. Equipment availability challenges impacting our planned sequence accentuated by our reliance on a single mining horizon. This dependency limits operational flexibility and heightens our risk. When you are mining just 3 to 5 stopes per month under or overperformance in just one stope can have a significant impact. We've consistently highlighted the importance of operation of improving our operational flexibility, which is why since the mid-2023 time line, nearly every major initiative at Kiena has been aimed at unlocking operational agility. As a result, Kiena has undertaken a number of significant and important projects, many of which will be completed by the end of this year. These include the tripling of a number of active mining zones, doubling of our development meters year-on-year, developing an exploration ramp, which allows us a second material movement access as well, which completely unlocks our material movement in the mine, freeing up shaft capacity by 50%, rehabilitating our 33 level drift, allowing us access to the upper sections of the mine, adding 10 to 15 new drill platforms underground, as well as increasing our ventilation by 100% at Kiena Deep in 2026. There's a lot going on at Kiena. The breadth and the pace of these initiatives represent a very deliberate and strategic investment in Kiena's long- term value creation. The team's ability to simultaneously ramp up, derisk and expand operational flexibility, while maintaining active mining and development is a notable achievement. This mine at a fundamental level is incredibly strong and its future is taking shape. However, in hindsight, a higher risk tolerance may have been warranted given the scope and the complexity of the work underway. As we noted in our Q2 production release in mid-July, Kiena has been pacing at or just below the lower end of guidance. While we have our midyear forecast indicating that Kiena can still meet the lower end of its original production range, we believe it will be prudent to revise guidance to reflect inherent risk in the plan. We're now targeting 80,000 to 90,000 ounces in 2025 with a corresponding increase in costs. We have indicated up to 10,000 ounces from Presqu'île. If you take the average of the last 5 quarters, which is between 20,000 and 21,000 ounces, you can see we can get there. There's also obviously additional grade and development coming from Kiena Deep, which adds to this and helps us get to the numbers, which makes it very sensible. Over the past 18 months, the block model has reconciled extremely well. We remain confident in the Kiena ore body, and the team continues to prove that they can mine this extremely well, which is the most important thing personally for me. We have a multifaceted program in place to deliver on this revised guidance, which includes an integrated action plan, short interval controls to track our performance and to quickly course correct. And we've added more resources, which helps us increase our redundancy. As well, the lower grade ore from Presqu'île is set to be processed in the second half of this year. As mentioned, we expect this to reduce up to 10,000 ounces from what is the first near surface zone accessed by this new exploration map. Each of these critical steps is aimed at securing the second half of the year and building for the future, enabling a more efficient, predictable execution and building a solid foundation for more consistent performance. On a consolidated basis, with the increase at Eagle River largely offsetting the shortfall at Kiena, we expect to remain around the midpoint of our original production guidance for the year, albeit at higher costs. With respect to investment, the incremental $30 million is mostly due to increasing growth capital at Kiena, which is well spent. The change reflects the redesign of the ventilation infrastructure because we have a larger ore body relative to the original design as well as the capital to accelerate this development and to extend the footprint of this larger Presqu'île Zone to a deeper level. This will establish an additional mining front giving us much more flexibility as Presqu'île gears up for future growth. No changes have been made to our 2026 guidance. The second quarter was a strategically important one for Wesdome, one that showcased our discipline, our focus and our ability to pursue the right opportunities for long-term growth. In June, we closed the acquisition of Angus Gold, a move that contributed our land position at Eagle River to 400 square kilometers. With the acquisition of Angus, we've inherited more than 40,000 meters of drilling plus a rich data set of geological information. We've now consolidated a highly prospective land package around Eagle River, and we've added top-tier exploration targets that directly support our fill-the-mill strategy. During the quarter, we also amended and upsized our revolving credit facility. Financial housekeeping as the previous one was maturing. We took advantage of this opportunity and increased the facility to USD 250 million and locked in more favorable terms. With over $500 million in total liquidity, we strengthened our financial position, giving us the run rate to balance strategic growth with returning capital to our shareholders. Let's look ahead at what's coming down the pipe that could drive the next phase of value for Wesdome. Exploration is central to our future, and this year, we're investing up to $50 million to unlock that potential. We are on track to release an Eagle River update this month and follow up with additional results from both sites later in the fall. At Eagle River, work on the updated global resource model is advancing well. Our intensive drilling program is aimed at maximizing our resource QA/QC with the goal of delivering a technical report that more accurately reflects the full potential and the intrinsic value of this asset. We've set a drilling cutoff date of December 31 this year. Therefore, we'll update our mineral reserve and mineral resource estimates when we publish the results of our updated technical reports in June next year. At Kiena, the upfront technical report work is centered on cost optimization, near surface opportunities along 33 level and a full review of mine design and mining methods. Different approaches at each mine, but the goal is the same to show the potential of each asset and to unlock this long-term value. There's a lot of foundational work ahead of us as we move both technical reports forward. And as always, we'll keep to informed every step of the way. Now over to Guy.
Guy Belleau: Thank you, Anthea. Good morning, everyone. Let's move to Slide 9 and review operational performance. Eagle River had another strong quarter, producing approximately 26,000 ounces in Q2 a year-over-year increase of 33%. At grade of 16.9 grams per tonne in Q2 was above the high end of guidance. This year's strong grade profile reflects continued high grade contribution from the 300 and 720 Falcon Zones and improved grade reconciliation in dilution controls. Importantly, performance year-to-date reflects disciplined execution, not opportunistic grade chasing. Sequencing remains fully aligned with our 2025 plan, and the ore body is reconciling well. The team at Eagle River has been advancing new mining fronts to strengthen flexibility and drive more predictable performance. With the inclusion of the global model, we expect to increase from 3 to 4 zones to between 5 and 7 zones in the next 2 years. In the 300 Zone, development is now almost a full year ahead of production, reducing risk and supporting stronger execution. We've spoken before about the continuous improvement program at Eagle River and I'm pleased to report that it is starting to deliver measurable results. For both the second quarter and the first half of 2025, cost of sales, cash costs and all-in sustaining cost per ounce of gold sold each declined year-over-year. We're targeting up to $4 million in annualized savings in 2025 from several areas, including improved maintenance enabled by our new surface workshop, opening in September and more integrated planning across the mine and mill. We're aligning the best practices and it's paying off. This is just the start. We expect to deliver meaningful long-term cost reductions as we shift from contractor-led to owner-operated activities. A near- term example is surface ore haulage. With new trucks arriving and our team ramping up this month, we're transitioning away from contractors. On the ground, we're doing the time. Since late 2024, we've been steadily bringing development work in-house. This year, over half of the development meters are being completed by Eagle River crews. We're also making targeted infrastructure investment to boost surface efficiency and strengthen long-term reliability all aligned with the mine's risk profile. During an 18-day shutdown in May and June, we completed several major upgrades, including replacing the feed end trunnion gear on the primary ball mill, swapping out the gear set on the secondary ball mill and completing other plant maintenance. These enhancements were done to improve mill availability and throughput and to ensure long-term liability as we work to achieve our fill- the-mill strategy. I am pleased to report that the mill was safely restarted on schedule and has been running steadily ever since. In July, we averaged nearly 900 tonnes per day, a 50% increase over the 2024 average. Mining did not stop while the mill was being upgraded. We focused our efforts on strategically building up the ore stockpile, which allows us to blend materials and maintain a more stable mill feed. Due to the length of the planned shutdown, quarterly mill throughput declined by 7% year-over-year, which is why the year-to-date numbers are directionally more accurate. Mill performance in the first half of 2025 was up 4%. Thanks to the initiatives to increase drill and develop inventory that are starting to deliver results. Since mid-2024, Eagle River has been undergoing a disciplined transformation, and we're now seeing those efforts deliver real results. There is so much more work to do. However, the changes to date are laying the groundwork for improved future performance. Building on a strong first half, Eagle River is well positioned to sustain its momentum and continue delivering value in the second half. Our appreciation goes out to our Northern Ontario team, their focus, execution and commitments are driving a successful turnaround in positioning Eagle River for continued success. Turning now to Slide 10. With delivery and execution falling below expectation at Kiena, our focus is on clear, actionable priorities to drive performance. First, we're taking definitive action to secure strong second half production and meet revised guidance. Second, we're rapidly advancing several critical initiatives to enhance operational flexibility and unlock future value. I'll come back to each of these important priorities shortly. But first, let's take a quick look at Q2 performance. Kiena delivered approximately 7,200 ounces in the second quarter, bringing year-to-date production to nearly 34,000 ounces. Q2 was slightly ahead of Q1, but down 31% compared to Q2 last year. Grade averaged 10.7 gram per tonne, in line with Q1, but was lower than the 13.5 grams per tonne we achieved in Q2 2024. Q2's dip in production and grade came down to 2 key issues: ongoing equipment availability challenges that constraint access to several planned high-grade stopes, which have been in deferred and one high-grade stope underperformed due to limited delineation. To compensate for the shortfall, the team mined some lower grade previously caved stopes that were stable to reenter and recover ore. We are pursuing several key initiatives that gives us confidence in our ability to deliver stronger production in the second half of the year. First, we must maintain the mining sequence, which is a function of planning and ensure people and machinery availability. Mining from a single front has underscored just how crucial it is to maintain the mining sequence and success hinges on resources being reliable and available. The maintenance challenge experience this year is multilayered. So let me break down the steps we've taken. Since the end of Q1, we've acted decisively to align our maintenance practices with Kiena's Deep current risk profile. This means bringing more people to critical areas and building redundancy. We've optimized shift schedule to ensure full round-the-clock maintenance coverage. We're building staffing redundancy to support continuous operations. We've reopened an additional maintenance workshop underground and increased bay availability. Several new machines were purchased, which will be redeployed to Presqu'île and other zones once their support is no longer required in Kiena Deep. Rental equipment has also been brought in to strengthen our fleet and reduce the downtime risk. And we're increasing our spare parts inventory to properly reflect Kiena's risk profile and have secured supplier partnerships to ensure timely access to major long- lead components. To top things off, we have implemented a strict set of critical controls to provide better assurance going forward. Importantly, several of the high-grade stopes deferred in Q2 are now scheduled for mining in the second half of the year. The balance will be accessed in 2026 once our initiatives to enhance operational flexibility are fully realized. Although our plan involves some risk, the steps we've taken are already showing positive results, together with safety, strengthening production and meeting guidance is our top priority. Turning now to Slide 11. As mentioned, one of Kiena's key priority in the coming months is to enhance operational flexibility, which will lower our risk profile. The current reality at Kiena is that we operate in a single mining horizon, providing little to no flexibility. Operational flexibility is essential to unlocking the full value of Kiena, which is why we're expanding from 1 to 3 active mining horizons. Progress on the second front with Presqu'île zone is well underway with ore currently being stockpiled for processing starting Q3. Presqu'île will be a key contributor to our fill-the-mill strategy, augmenting production from Kiena Deep. At the same time, development of the third horizon is advancing steadily. The main ramp has reached Level 136 and lateral development is in progress, opening up a new production front with the high-grade Kiena Deep Zone. Both new horizons, Presqu'île and 136 will be ready by year-end. We're also making strong progress on the exploration ramp, which will provide direct access to service. This project is also on track for completion in 2025. The ramp development is enabling a major ventilation upgrade at Kiena Deep serving as a return airway and leading to a planned 100% increase in ventilation capacity in the second half of 2026. Project scope has also been expanded in the Presqu'île ore body. We're now allocating additional capital to business units for long-term mining success by optimizing the ventilation system in this area to ensure long-term capacity while lowering opening costs and accelerating development and expanding the footprint to a deeper level, establishing an additional mining front. Supporting infrastructure for Presqu'île is now coming online. The surface crusher is now operational and civil works for the first surface ventilation fan are underway. It goes without saying that the new mining horizons, surface ramp access and upgraded ventilation system are crucial to Kiena's future success. Once complete, they will transform Kiena into a more flexible and resilient operations. The importance of the new ramp was reinforced in July when the longer-than-planned shutdown highlighted the need for alternative access. Once complete, the ramp will provide a second option for transporting people and materials, a key element of our broader strategy to strengthen operational redundancy and resilience. As mentioned at the outset, Kiena's focus for the second half of the year is clear. It is to strengthen production and meet revised guidance. It is also to complete the initiatives underway to improve operational flexibility. I'm confident that the exceptional team at Kiena is well positioned to deliver. Leading the effort is Jean Bastien, who joined as General Manager in June. Jean brings deep experience and a fresh perspective to the operation. We welcome him to the new team. And now over to Jean to discuss exploration.
Jean Bastien: Thank you, Guy, and good morning, everyone. Let's start things off on Slide 13, a snapshot of what's happening at Eagle River, both underground and at surface. Underground at the Central Zone, drilling is doing exactly what we had hoped, confirming the continuation of down plunge mineralization of consistent thickness and grade and highlighting potential new subparallel structures. In the 300-Fold Zone, drilling supports the continuity of high grades down plunge on a separate subparallel structure from the 300 Zone. Over at 311 Falcon and 720, it's early days, just a few assays in, but the data so far is suggesting both ore bodies continue down plunge. The 720 also has indication that the mineralization remains open to the west. On surface, Q2 drilling focused on the upper extension of the Falcon Zone, testing the mineralization further up plunge. We intersected grade quartz veining with visible gold in multiple [ holes, ] a strong sign and more drilling is scheduled to evaluate continuity. We also tested a parallel trend to the 6 zone from surface, drilling 7 holes across 300 meters of strike. We intercepted quartz veining with sulfides, and we're now awaiting assays. Since quarter end, we've kicked off new drill programs at Mishi with Magnacon set to follow later this quarter. In total, we've got 10,000 meters of drilling planned, about 68 holes, focused on testing gaps west of the current drilling at Mishi, assessing the down plunge continuity of the Mishi deposit below the open pit and twinning historic intercepts at both Mishi and Magnacon. Now a quick update on the Angus property on Slide 14. Our top priority here is to complete the resource work at Dorset, which the Angus team commenced earlier this year. By mid-July, we had drilled about 1,300 meters on the main A and B zones with another 2,000 meters to go, targeting both Dorset A, B, as well as Dorset West. Our goal is to update the historic Dorset resource and define the continuity of the recent high-grade hits at Dorset West. Once the resource drilling program at Dorset is wrapped up, we'll shift focus to other high priority targets, including Eagle River Slay and the Cameron Lake iron formation. And just a quick note on the global model before we move to Kiena. Four underground rigs are currently tasked with infill drilling global model targets between now and November, approximately 40,000 meters will be completed. Two other rigs are focused on delineation drilling for grade control and continued infill and exploration drilling on the Falcon 311 and 6 Central parallel zones. The global model drill program will support category conversion of target material and feed into next year's updated technical report. There's a lot to be excited about at Eagle River and we are targeting a release for the full exploration update in the coming weeks. Now let's turn to Kiena on Slide 15. The completion of new underground drilling platforms is opening up some exciting opportunities. In the deep part of the mine, 2 platforms on Level 134 are now complete and drilling is underway from the first phase. Three more platforms are on track to completion by year-end. These platforms are a game changer. They're giving us much better angles to test Kiena Deep, the Footwall zone and the down plunge extension of the B Zone. They also significantly reduce drill hole lengths, meaning faster, more cost-effective exploration drilling. As highlighted in our June news release, we remain encouraged by results of Kiena Deep especially with compelling intercepts from both the Footwall Zone and the North limb of Kiena Deep A. In the B zone, historically a low grade area, recent drilling has led to a major reinterpretation that was thought to be a single lens is now still to be multiple stack lenses, all open down plunge. This matters because B Zone sits right next to existing infrastructure. It is now being active assessed as part of our broader fill-the-mill strategy. With Kiena mineralization highlighting a broad trend of grade increases at depth, the down plunge continuity of B zone presents an exciting exploration target, which we'll evaluate in the near future. Moving up to Level 33. Our new platform is already producing results. As shown on Slide 16, drilling SouthEast of the Wish zone has intersected 2 high-grade areas, one of which lies just NorthWest of the historic Shawkey Main. This intercept is especially interesting. The mineralization style resembles and matches the original Shawkey ore body, more than 6 grams per tonne, suggesting a possible NorthWest continuation of the mineralization. This area is strategically important due to its proximity to existing development at the old Shawkey Main. We're now drilling from further east along Level 33 with holes testing the NorthWest extension of the Shawkey mineralization, 3 holes have been completed so far. Early results are promising and further drilling is planned. Looking ahead, we're excited to complete the extension of the Level 109 exploration drift, which will allow us to resume drilling the down plunge extension of the VC Zone. We're targeting a restart before the end of the year. Beyond underground, surface exploration at Kiena is also progressing well. We currently have 3 barge drills active targeting extensions of the Presqu'île zone and exploring it NorthWest Wesdome, Dubuisson and the 134 Zone. And finally, we've launched our planned high-resolution drone magnetic survey across the entire Kiena property. This will give us a valuable new layer of geophysical data to help guide future exploration and uncover new targets across the land package. To wrap up, it's been a strong and productive first half with momentum continuing to build across the portfolio. We're also pleased to welcome the Angus exploration team, bringing valuable expertise to the Angus program while contributing to our broader exploration efforts. Company-wide, our drilling programs remain tightly focused and efficient aimed at driving resource growth, enhancing operational flexibility and delivering long-term value. Our exploration teams have worked hard at building a pipeline of drill targets, surface and underground brownfields and greenfields. We have fertile real estate with exciting upside potential. We look forward to sharing continued progress as we advance this work through the second half of the year. Now over to Raj, who will take you through this quarter's financial results.
Rajbir Gill: Thanks, Jean, and good morning, everyone. Turning to Slide 18. The second quarter set several new records across revenue, EBITDA, cash margin, net income and free cash flow. Notably, Wesdome generated $53 million in free cash flow this quarter more than the entire first half of 2024. Per share metrics like adjusted net income of $0.52 and cash flow of $0.67 showed strong sequential improvement over the first quarter as well as Q2 2024. I would note that headline earnings was adjusted to reflect executive departure costs as well as a consideration receivable accrued for royalty buyback. Turning to Slide 19. Gold production in the second quarter was approximately 43,000 ounces a cash cost of USD 929 per ounce and all-in sustaining cost of USD 1,528 per ounce. As an unhedged producer with most of our costs in Canadian dollars, we captured over USD 1,750 per ounce or 53% ASIC margin per ounce compared to a realized gold price of USD 3,279 per ounce. We're seeing the benefits of having multiple producing assets in the portfolio with Eagle River's strong performance on grade, partially offsetting lower production in Kiena due to equipment availability challenges. Looking at the ASIC profile for the second half, we're forecasting Q3 to be similar to Q2 while Q4 is expected to be materially lower. Even with record margins this quarter, there's clearly room for improvement by tightening cost controls, enhancing our planning and tracking processes and upgrading our internal reporting, we can unlock more value, empowering real-time tactical and strategic decision making. Turning to Slide 20. Our balance sheet continues to strengthen with about $188 million in cash and 0 debt. With a stronger second half and fourth quarter plan, we expect our financial position to continue improving at an accelerated clip as we work hard to deliver more consistently reduced costs and capture the operating leverage inherent in the business. As a reminder, we closed the Angus Gold transaction on June 27, which required a cash outlay of about $30 million. As Anthea mentioned, during the quarter, we also amended our revolving credit facility to extend its maturity in 2028, increased capacity of USD 250 million from CAD 115 million previously. The debt facility also includes an accordion feature, which now stands at USD 50 million. With liquidity of more than CAD 0.5 billion, Wesdome enters the second half of 2025 in its strongest financial position to date. We're now at the point where we're building a disciplined capital allocation framework anchored on maintaining financial flexibility while balancing the execution of our strategic objectives and delivering long-term returns for shareholders. Our first priority always remains fully funding high potential exploration and advancing the fill-the-mill strategies of both Eagle River and Kiena. Organic growth has historically yielded the highest returns for our shareholders. In parallel, we'll maintain a rigorous approach to evaluating strategic opportunities that complement our operating strength and support our vision of building a resilient, growing value-driven gold producer. With that, operator, you can open the line for questions.
Operator: [Operator Instructions] The first question comes from the line of Andrew Mikitchook with BMO Capital Markets.
Andrew Rostislav Mikitchook: There's quite a bit of detail on the work that you're doing at Kiena, but maybe I could just ask someone to contrast what we see at Eagle in terms of fairly well impressive preparation and reliability and a year of quick forward development and all kinds of metrics like that. How long or is it possible to get to that kind of a situation at Kiena? Is that the goal? Or am I misunderstanding the vision?
Anthea Ingrid Bath: Andrew, that's a great question, and thank you for asking the question. So yes, I mean I think Eagle side has been a program that's been going for the last 18 to 24 months to move it towards being much more flexible and there's wonderful strategy to keep growing Eagle and to build it out. And hopefully, next year, we can show you that in the technical reports as well. For Kiena, the first thing was to make sure we build out our operational flexibility in the mine, which will then allow us to unlock it further. Kiena is a little bit different from Eagle in that you have a different ground situation. You can't just open up stopes across this entire operation. You have to build very carefully. So the more mining fronts we open up, the more flexibility we create. The big thing was moving from Level 129 down to Level 136 and then continuing that ramp down to Level 142, which is what we continue to do and then unlocking opportunities near surface as well. All of these programs are currently taking effect. You see in terms of not having that flexibility, you see the impact of issues going wrong in the mine. So in this case, we had a situation where our material -- our material, our equipment didn't perform to the utilization levels we wanted to be. And with that, you then affect your sequence, which means you rely on the single phase and then you can -- it just slows things down. However, the one thing I want to assure you is that we have a very systematic and step-by-step process to get that unlocked through the flexibility discussion we just mentioned. But similarly, when we do things at Kiena right now, we're doing them really right. So when we do mine, we're mining really, really well, which is what I love. The next thing to do now is to make sure we get these levels open, we unlock it and the flexibility naturally happens. In the meantime, what we've done at Kiena is we open up redundancy to allow us to actually manage those little errors a little bit differently. So if they do happen, we have an issue where people aren't available for a machine at the right time. We've got redundancy now built in that we can assure the utilization rates we need to keep our sequence strong. So I don't know if that helps at all, Andrew.
Andrew Rostislav Mikitchook: Kind of makes sense. And staying with Kiena, this 10, 11, 12 days of shaft maintenance unplanned issues. How should that impact Q3 versus say, Q2, should like we're looking for a similar outcome that hopefully some improvements in the balance of the quarter offset those issues? Or is there a risk that Q3 is weaker than Q2.
Anthea Ingrid Bath: No, no, no. I think, definitely, what we had here was a planned maintenance shut that we extended right by 4, 5 days. I've got 4 days there. But it does -- your quarter 3 does see an improvement definitely. So maybe, Guy, do you want to comment further?
Guy Belleau: Yes. So it was a 4 days planned shutdown and the shutdown has been extended to fix some key components around the [indiscernible]. Now it's all behind us and we're moving ahead into the quarter. We've seen some pretty impressive results recently. The team has been working very hard in fixing issues. And we've seen recently 20 grams a tonne in the mill. So over expenditure team is doing a very good job over there.
Andrew Rostislav Mikitchook: Okay. Last Kiena question. And I think you alluded to this earlier in the call, but just to be clear, if you're going to deliver 40% of your gold in Q4, that would require both tonnes and grades to come up in Q4? Or is it really mostly tonnes or any guidance on the split so that people can have an idea of what to expect?
Anthea Ingrid Bath: Okay. So I'll just try and say it again. So it definitely has a bit of a great impact on Kiena Deep. But if you think about it, it really is Presqu’île coming in, in Q4 as well as Kiena Deep almost executing at a similar run rate than it would have done over a period. So it's very achievable. And we just need to make sure we keep delivering as we are at the moment.
Andrew Rostislav Mikitchook: Okay. Last question because I am monopolizing the time here. Any further explanation of what you're considering when you say return of capital to shareholders?
Anthea Ingrid Bath: Yes. I mean we're busy working with our Board on capital allocation framework at the moment, Andrew, and we will be sharing them in the second half of the year as we said before. So at this stage, yes, that's the key focus within the team. And obviously, we keep focusing strongly on our organic initiatives and then remain very prudent.
Operator: The next question comes from the line of Wayne Lam with TD Securities.
Wayne Lam: Maybe a follow-up question on Kiena. Have you seen any difficulties in terms of the mineability of the Kiena Deep? And is that also driving -- like is that driving some of the changes to the mine design? And then just wondering, going forward, what would be the targeted run rate expected from Kiena Deep on a tonne per day basis? Would that still be something in the range of 650 tonnes per day and then maybe adding in 350 from Presqu'île to get to 1,000 tonne per day run rate?
Anthea Ingrid Bath: So mineability, and I'll make a key comment afterwards, but mineability is going really well. We can definitely mine and we mine it really, really well. So that's really good relative to the parameters. We'd like it to be mined. We're doing a great job, something we're really focused on. Run rate wise, we're currently targeting at 750 tonnes per day from Kiena Deep at the moment roughly 750 tonnes and then if you add Presqu'île on top of that, you get another 350 or so it's getting a little bit higher than that one. 350, 400 will be up to.
Wayne Lam: Okay. Great. And then maybe within the additional growth CapEx budget at Kiena, how much of that is related to accelerated development and the 136 level and has completion of access to the 136 has been slightly delayed?
Anthea Ingrid Bath: Sorry, can you repeat your question?
Wayne Lam: Yes. Just within the additional growth capital now budgeted at Kiena, I was just wondering how much of that is related to accelerated development of Kiena Deep in the 136 level. And whether the completion of access to 136 had been slightly delayed?
Anthea Ingrid Bath: No. I mean the completion, we weren't planning of mining 136 this year at all. So that's pretty much on track and it's per plan. The additional capital there is really actually more in Presqu'île on the development side of the Presqu'île and also unlocking the ventilation circuit even more so. So we've done some work on optimizing the ventilation circuit, which requires a bit more development, too. So -- this is largely around flexibility, both at Presqu'île level and creating another horizon day as well as enhancing our future flexibility in the mine going forward. So it's not to do with 136. 136 is going really well. It was never planned to be mined in 2025 at all, and it will be ready to be mined in 2026.
Wayne Lam: Okay. Great. And then maybe just last one at Eagle River. Obviously, some significant improvements being made operationally. Just wondering if you might be able to provide a bit more detail on some of the improvements being made on the dilution front, and whether you see that as sustainable? And just wondering how much of that improvement is also being driven by the new global model.
Anthea Ingrid Bath: Okay. I'm going to let Guy comment on that.
Guy Belleau: No, thank you. Very good question. The team has worked very hard on improving drilling and blasting techniques. And since beginning of the year, we have seen a continuous improvement in the dilution, doing an exceptional job controlling better the drilling accuracy and the vibrations during blasting, so translating into very, very good results, and we see it in the grade as well.
Anthea Ingrid Bath: I think just to add to that, Wayne, we expect that to continue. I mean I think if you [indiscernible] Guys head now, he's not saying probably, he's got a plan to go beyond that. So that's been substantial difference in how they are improving on those parameters. The global model is not the reason for that. The global model has got other benefits, and I think it's quite exciting to see what's happening there. So that's going to add more to mine life and more to filling up our mill. So another good thing that Guy and his team have been working on is in making sure we ramp up and get the mill ready and the whole operation ready for a ramp-up there. So lots and lots of good work going on at Eagle in terms of opening operational flexibility, but also preparing Eagle River for its next phase.
Operator: The next question comes from the line of Ralph Profiti.
Ralph M. Profiti: Anthea, I appreciate the added color on Kiena Deeps, the goal being to double ventilation infrastructure in 2026. Just wondering if you can give us a sort of a CapEx on that work order, understanding that's part of a broader scope and may be included as part of the comprehensive technical review.
Anthea Ingrid Bath: Okay. So from a CapEx perspective on the ventilation side, the thesis may be just make it clear, we're building ventilation. We don't need ventilation for where we're mining right now in 129. We need ventilation, we want to grow the mine and create more flexibility, right? So -- and if we want to create more redundancy, ventilation helps because we are limited on ventilation in terms of what we can add on. So we can't just easily add more machines into the mine right now if we needed them at this point in time. So this is always part of the plan to do this well. So this is nothing new. What we're doing now is we're just enhancing that because we're realizing that this mine has got more, right? So we're seeing more on Level 33. We're seeing more in Presqu'île. We're seeing more things you just heard Jean speak about the scale of what's in Kiena. So a lot of what Wesdome's team is doing is preparing Kiena for the long term as well. So when we stand back from the operation, we want to make sure that any decision we make allows us to have success, not just for the next 3 years, but for beyond 3 years, so some of these investments that you might have seen, which was an increase, I think it was about 4 million or so if I'm not mistaken, Kevin, I'm just looking at you. It's about 4 million or so. I could have a number not exactly right, but I can get Kevin to get that number to us exactly, but it was a bit more to help enhance that program. It's not something that we've learned today. It's something that we're building to create more growth and more flexibility in Kiena.
Ralph M. Profiti: Yes, that's helpful. And just as a second question, I want to delve a little bit more into the equipment availability constraint. It wasn't clear whether or not this is related to fixed infrastructure or mobile equipment? And either/or is this more related to design issues, maintenance issues or operator issues?
Anthea Ingrid Bath: Sorry, Ralph, I didn't hear you perfectly. Can you just say that again?
Ralph M. Profiti: My apologies. Yes. I wanted to get and expand a little bit more on the equipment availability constraints and whether or not this was mobile equipment or fixed infrastructure and whether or not these are more related to design, maintenance or operator?
Anthea Ingrid Bath: Okay. Great question. The mobile, it's mostly really to fleet at this stage. And the reason why is because our fleet availability needs to be at an extremely high level from a utilization -- well, it needs to be at a level on a utilization level, which is well planned. The problem is it's a people issue as well as an equipment issue, right? It's both sides. The risk profile of our equipment needs to be fully aligned with the risk profile in the mines. So if you look at things like our spare parts strategy, we probably needed to be a bit stronger on that [ hedgy ] to make sure we had -- you can't wait -- you don't have time to wait when you require a very tight execution program. So it's -- this is not an equipment specific issue. This is a matter of a planning issue more than anything else. The equipment is there, we've got great equipment. It's about making sure that the planning procedures and how we assure that our redundancy and our risk profile aligns better to the requirements of the mine. There's nothing inherent about this, Ralph. This is a fantastic mining operation. This is just about getting these things to fit the risk profile appropriately. And that's why I say we probably should have applied a bit more risk at the beginning of the plan. What we've really focused on at Kiena is to make sure we do things systematically extremely well. So if we do extract, we extract well. We need to make sure that our people strategy fits that really, really well. If you don't have a person to run a machine, you don't have a machine that can work. If you've got a sequence that requires you to have a machine ready and the person isn't there, you can't run the machine when you need it. If you've got no flexibility, well, then guess what, you can't keep with your sequence. So what I tell the team is I don't care, you mine well. You keep mining this mine well because that's what we care about because you'll see those stopes will come in. They are beautiful. This is a beautiful mine. The mine reconciles really well. The things this mine has done, and I really want to say this to Kiena team. They've done a phenomenal job of developing infrastructure to grow this operation with the future. They're drilling all over the place. They've built exploration ramps. They built -- I mean, they keep working so well to create a future that I'm telling you we'll be so proud of because you'll see it come through. There's such great geological potential in this mine, it's scary. What we now need to do is just systematically keep delivering, get the risk profile down, which is coming down, which is really coming down. You have a second ramp coming in, it's unlocking the mine. You've got the people strategy well supporting the execution strategy. You've got more controls in. I mean our short-term interval controls are now so tight that we're watching them, I think, shift by shift in Kiena's desk. So it's -- we made -- yes, we shouldn't have had this issue. We did have it. We apologize to all of our markets for that. But we'll fix it.
Operator: The next question comes from the line of Don DeMarco with National Bank.
Don DeMarco: My first question is on Kiena. So you'll be getting to Level 136 by the end of the year. Can you give us a sense of the grades and the tonnage that you might expect to mine from the zone? And how long you'll be mining it?
Anthea Ingrid Bath: So I'll just revert to my -- Kevin, that you have the actual long section for Kiena D -- for 136 level, what is the grade profile?
Kevin Lonergan: Yes. The grade is very much similar to what we used in Kiena Deep and the 129 -- 14 grams a tonne.
Anthea Ingrid Bath: Not mistaken, [indiscernible] 2 years of mining.
Kevin Lonergan: Yes. So we developed 136 horizon, as we say, which is 4 levels. It's in the 12 to 14 grams a tonne. Once that developed, it sustains production from those levels up to 2020, I think late 2028. So once we develop these horizons, we've got 2, 2.5 years of mining in those horizons, which is -- that's sort of coincides with what I just said about the flexibility. Once they're developed, we tend to have consistent sustainable mining for a long term in them.
Anthea Ingrid Bath: 2 years of mining...
Don DeMarco: Okay. Great. And so how many levels will you be mining in Kiena Deep? After level -- after you're into 136.
Anthea Ingrid Bath: Then we keep going to 142 and then after 142, we get to 146 -- 126, I can't remember the exact.
Kevin Lonergan: Yes. Currently, in the current reserves, you're talking about 5 more mining.
Don DeMarco: But in terms of currently mining, we will be mining from multiple levels concurrently?
Anthea Ingrid Bath: End of the year, we're going to have 3 that we're going to mine from [indiscernible] end of the year, we have 3.
Don DeMarco: Okay. So I guess this leads into my next question. I'm looking at the throughput in Q2, and it's 500-something tonnes per day and you certainly got a lot of spare capacity at mill. By way of getting into Level 136 plus Presqu'île, where do you think that mill throughput might move up to over the coming quarters or after you get into these zones.
Anthea Ingrid Bath: As I just -- I mean if you look at this year, we should be getting -- for the end of this year, second half, you'll see the increased line purely in 129 level plus Presqu'île heading to the 1,000-plus level. It goes up to 1,200 tonnes per day plus more or less to that mill at the moment. When you get to 136 and larger than the next horizon as well. And I think I mentioned earlier that even the hoist capacity has been unblocked with the work that Guy and his team have done. So we even got more capability to be -- you can hoist right upwards, think, of 1,800 -- 1,700, 1,800 tonnes a day. So we really -- we're unlocking material movement. It's then going to come down to how many levels we can get into to create the flexibility correctly because you can't and also the design. So Kevin's team is busy working on the design to make sure we create multiple fronts coming into a level, which is the change in design to allows even more flexibility per level. So there's a lot of work going on to unlock into reduce risk in this mine.
Don DeMarco: Okay. Great. So -- and I think earlier, at some point, you talked about coming out with updated technical reports for both Kiena and Eagle. Is that still on track for some time, maybe early next year? Is that the schedule that you had expected?
Anthea Ingrid Bath: We're planning on putting out the press release in June next year, Don. So we've -- as I mentioned in the last call was we needed to understand the amount of conversion or confirmation drilling that Jonas team needed to do to get the QA/QC correct. And that was we got those plans back and we need to do about 40,000 meters, I think, of drilling to do that just to confirm. And then obviously, that gets us to the end of the year, and then we'll have it ready by tune in our release.
Don DeMarco: Okay. And so -- and that will include a mine plan then that will give us an idea of the trajectory of these throughputs increasing as you get into the different zones and optimize things. Is that right?
Anthea Ingrid Bath: That's correct, Don. And then you can add your own logic into how as we also do conversion or depletion side as well because this is what's in the current available model. So you can imagine what's -- we'll talk a bit more about that later, but it's going to have a market impact.
Don DeMarco: Okay. And then just finally, just to wrap it all up. So we will be expecting kind of a material increase in throughput at some point into 2026 or thereafter versus what we saw in Q2?
Anthea Ingrid Bath: Absolutely, absolutely. I mean in Q2 is affected by challenges, not affected -- so your tonnage was lower because of these challenges we spoke about.
Don DeMarco: Okay. Okay. Great. Well, we look forward to that. And maybe just one final question. I see that you're actively sourcing different open positions and so on. How would you characterize the labor market right now? And is that a potential -- any potential bottleneck on the horizon?
Anthea Ingrid Bath: Labor is a major challenge. And I think every mining company probably has the same, but it is a major challenge. It's something that we probably spend, hey Guy, how much of our time on this every day. It's a significant amount of our time to make sure we keep assuring that our -- the people strategy is strong. And yes, so it's the single biggest challenge, I think, today for all of us.
Operator: There are no further questions at this time. This concludes this morning's call. If you have any further questions, please contact Trish Moran at trish.moran@wesdome.com. Thank you for participating today.